Operator: Good afternoon, and thank you for standing by. Referring to the fourth quarter results for 2024. This presentation is also being recorded and being simultaneously translated for both languages. [Operator Instructions] Here with us today, we have Mr. Marcos Molina, Chairman of the Board; Mr. Tim Klein, CEO of National Beef; Mr. Rui Mendonca, CEO for South America; and Mr. Tang David, CFO and IRO; Jose Ignacio Scoseria, Corporate Finance Director; and also IR Officer, Mr. Stephan Szolimowski. Participants will be connected in only listen-only mode during the company’s remarks. After that we will start a Q&A session when further instructions will be provided. Before moving on, we would like to make clear that forward-looking statements made during the conference refer to the company's business outlook. Also refer to operating and financial targets, which are based on beliefs and assumptions on the part of the company's management, as well as on information currently available for Marfrig Global Foods S.A. Forward-looking statements are no guarantee of performance. They involve risks, uncertainties and assumptions as they refer to future events and therefore, depend on circumstances that may or may not materialize. Investors and analysts should have in mind that general conditions, economic conditions and industry conditions might affect forward-looking statements and thus lead to results that will differ substantially from those expressed in these forward statements. I'd like to turn the conference over now to Mr. Tang David who'll start. Please, Mr. David, you may carry on.
Tang David: Good afternoon, everyone, and thank you for joining us today for yet another video conference for Marfrig Global Foods. We will comment on the results in a consolidated basis for Q4 2024. Consolidated numbers include the business segments, Beef North America, Beef South America and continued operations and BRF as per CPC and IFRS standards. Starting on Slide No. 2 then with the main highlights for Q4 2024 and also for the whole year 2024. In Q4 '24, we generated BRL 41.3 billion in terms of consolidated net revenue, up 22% from Q4 2023. That number totaled for the year 2024, a consolidated net revenue of BRL 144.1 billion, up 14% from the revenues for 2023. The consolidated adjusted EBITDA for the Q4 reached BRL 3.7 billion with a consolidated margin of 9.1%. For year-to-date 2024, adjusted EBITDA in consolidated numbers reached BRL 13.6 billion or 59% above that filed for 2023, a margin of 9.5%. The growth in EBITDA and revenue reflect our strategy in terms of investing in a business model which is diversified, both in protein and also geographically speaking and a focus on a portfolio of higher added value. We also delivered higher free cash flow and net profit and have reduced leverage to 2.4x in U.S. dollars and 2.8x in reals. And I'll comment on those numbers in the last slides further on. I turn now the floor to Tim Klein, who will be talking about the numbers for North America.
Tim Klein: Thank you, Tang. Let's begin on Slide 4, where I will comment on the results for the fourth quarter. Starting on the first chart on the left, total sales volume varied by 0.8%, remaining mostly in line with the same period of the previous year. Although we processed fewer head, overall volume was higher due to heavier carcass weights. Net sales came in at $3.2 billion, an increase of 4.8% versus last year. EBITDA for the quarter was $62 million, which was 22.2% lower than last year with an EBITDA margin of 1.9%. Beef demand in the quarter was good, both at retail and foodservice. However, it was not enough to fully offset escalating cattle prices and lower values for drop credit items, resulting in a decrease in margins compared to Q4 of 2023. Now move to Slide 5, where I will talk about U.S. market data. Starting on the left, USDA reported Kansas live cattle prices averaged $188.80 per hundred weight, up 6.2%. The USDA comprehensive cutout averaged $308.80 per hundred weight, up 5.7%, while drop credit values declined 10.1% to an average of $11.26 per hundred weight, driven mainly by lower prices for hides and tallow. The cutout ratio was 1.64 for the quarter. Looking forward to 2025, fed cattle supplies will continue to decline cyclically, resulting in lower capacity utilization across the industry. Beef demand is expected to remain strong despite higher beef prices. Strong demand and reduced cattle supplies should push cutout values higher, allowing the industry to achieve margin levels stronger than they were during this segment of the previous cattle cycle. Now I'll pass to Rui.
Rui Mendonca: Thank you, Tim. Let's now move on to Slide number 7, if you will, where I'll be talking about the performance in Q4 for continued operations in South America. Let's start on the chart on the left, total volume of sales. We have reached 241,000 tons in the quarter, 25% above what we had in the same quarter of 2023. This strong growth is driven by investments and an increase in capacity executed by the company throughout the past years and also because of a higher level of occupancy ensured by the supply for feedlots. Moving to the central chart for net revenue. We have reached BRL 5.1 billion in the quarter, 19% above that filed in the same period of last year, 2023. On the right-hand side, for adjusted EBITDA, we have reached the amount of BRL 660 million, up 25% over the EBITDA levels for Q4 2023. This strong performance can be explained mainly by a combination of an increase in capacity, more efficiency in our plants with higher scale have been achieved and a larger share of added value products. With that, we have reached an EBITDA margin of 12.8%, an increase of 60 basis points even when compared to the great results we saw in 2023. The strong results that we reached during the quarters and the year-to-date numbers come to confirm the efficiency of our business model, which is much more resilient vis-a-vis cycle oscillations and also price moves. Moving to the next slide I'll be talking about the export dynamics for the continued operations. In Q4 2024, sales for the external market accounted for 51% of the total revenue for the operation as a whole. Sales for China had a lighter weight when compared to the share in the same period in 2023, and they now represent 52% of all exports for the continued operation coming out of South America. In year-to-date numbers, as you can see in the last chart on the right, exports to China also saw a drop, moving from 60% to a level 14 points lower to the tune of 46%. We have worked hard to increase our alternatives in terms of sales channels across all units to reach other markets. The idea, the intention is to capture always the best commercial opportunities. With this objective in mind, we have seen excellent opportunities across different markets. A special highlight going to North America, which in 2024 grew 4 percentage points, reaching a level of 14% of the total exports for the operation. I now turn the floor over back to Tang, who will continue on the consolidated numbers for Marfrig.
Tang David: On Slide 13, revenue and adjusted EBITDA in Q4. Out of the total revenue created in Q4, BRL 41.3 billion, the segment North America contributed with 45%, BRF with 42% and South America with 13%. In terms of EBITDA generation adjusted terms, BRL 3.7 billion, BRF accounts for 74%, South America, 17% and North America, 9%. In terms of currency, 72% of our consolidated revenue is generated in U.S. dollars and 26% in Brazilian reals. Now moving on to Slide No. 15. We see the cash -- free cash generation. In Q4, the consolidated operational cash flow was positive by BRL 4.4 billion. Investments in CapEx and the amount under financial expenses reached BRL 1.4 billion under each entry. As a result, free cash flow for the quarter came out positive at BRL 1.6 billion. For year-to-date 2024, Marfrig created BRL 12.2 billion in terms of operating cash flow, resulting in a free cash flow of BRL 2.9 billion, as can be seen on Slide No. 16. Moving to Slide 17, net debt and managerial leverage. The consolidated net level totaled USD 6.3 billion at the end of Q4 2024, a drop of 12% vis-a-vis the previous quarter. The leverage ratio as measured by the relation between net debt and adjusted EBITDA year-to-date basis dropped from 2.86x to 2.47x as measured in U.S. dollars. When measured in BRL, the ratio dropped from 3x to 2.82x, making it clear the strong operating results and subsequent strong generation of free cash flow. On Slide 18, we have reduced the consolidated leverage for the seventh consecutive quarter, and we closed 2024 at a level of 2.47x as measured in U.S. dollars or 1.4x as measured -- or lower than the final number for 2023 rather. The strong operating performance in Q4, combined with the receivable for partial resources in the sales of assets in South America, we have been able to execute several actions to reduce debt, reduce financial expenses and also to reduce leverage levels. Those initiatives are part of our financial discipline in allocating capital and generating value for our shareholders. The last slide, Slide No. 19, net revenue and value generation. In 2024, we saw a net income in consolidated basis of BRL 2.8 billion vis-a-vis a loss of BRL 1.5 billion filed in 2023. The high profitability for Marfrig also appears in the generation and distribution of value for our shareholders. In 2024, according to the B3 ranking, Marfrig was the company with the highest percentage of dividend yield, reaching 29.8% in the second share which was more appreciated at the Group Index by 105%. In December '24, Marfrig paid out BRL 2.5 billion in dividends and BRF paid out BRL 1.1 billion in JCP for their respective shareholders. Our diversification of protein and also geographical footprint with a focus on a higher added value portfolio have combined to contribute in generating value for Marfrig's shareholders. In 2025, we continue to focus on the continuous capture of operating efficiency, cost control and in reducing leverage, which will lead to maximizing return to all our shareholders.
Operator: [Operator Instructions] Our first question, Lucas from JPMorgan.
Lucas Ferreira: My first question goes to Rui. You spoke a little about your business model. You were able to improve your margins in South America despite the rising beef prices. Can you talk about your capacity utilization? Is that sustainable in 2025? Considering lower cattle supply in Brazil in the future, how much will come from your own confinement? And out of the total results, how would you break down your products, boxed products, value-added products? And my second question goes to Tang about cash generation. Can you remind us the expected investments and working capital for the year, looking at Marfrig alone? And if somehow it makes sense to think about possible BRF dividend payouts and also liability management? How do you see BRF helping your liability management efforts?
Rui Mendonca: Well, our new business model guaranteed that result, and it's based on a number of factors that led to the conclusion I will present. First, our large industries. Our large industries lead to 35% less production costs. These industries were chosen by their location and also the number of plants approved to export. As for value-added products that you mentioned, today, boxed products account for more than 25% of our revenue in South America. And boneless products with a premium brand account for more than 40%. There is room to grow. We are working strongly, especially for hamburgers in the domestic market, which is a growing market. Another important factor behind those results was market diversification. We obtained 35 new approvals for exports in continued operations in 2024, and we chose to maintain the operations with more approvals for exports. So large industries, value-added products, market diversification, all of that was important. As for cattle supply, that was another key item. Our confinement allowed us to have an occupancy of over 90% in slaughter, especially in November, that was a critical month. That was really key. When we bring that cattle from confinement, that guarantees quality. An item I'd like to emphasize in our operating and commercial excellence program, we captured BRL 800 million during the year. And this is a recurring factor. All those factors were really key behind those results, and they are recurring efforts.
Tang David: Lucas, this is Tang. Working capital, you know that working capital for 2025 will be flat. But obviously, respecting the seasonality we have in each quarter. In Q4, we released some working capital, as we do on occasion. CapEx for beef in 2025 is slightly below that of 2024. And the CapEx for 2023 and '24 were used to increase capacity in 2025. We just have the maintenance CapEx, and we have liability management. Just to remind you, in Q4, -- we reduced our debt in about BRL 5 billion in the first half of the year. We have prepared some reduction in our debt that will help us deleverage. As for BRF, the BRF Board will decide whether or not to pay more dividends.
Unidentified Company Representative: If I may add. Looking at Marfrig alone, its cash generation for the year is sustainable. And we are also receiving money from the sale of assets in Uruguay. And that's something to be defined in the next quarter. It might improve the EBITDA of the operation and cash generation coming from Uruguay, because that will be outside the continued operation. As you heard in the BRF conference call, you know that we ended the year very well and started the year very well. So now we have to wait for the end of first quarter, March and April, where we will have a definition of the operations in Uruguay and also the domestic market in Brazil, our exports, grain prices in order to make any definition in terms of dividends of investments. But I can assure you that both at Marfrig and BRF, we are quite comfortable. And we have enough flexibility to keep our indebtedness low and to reduce our gross debt and our financial costs.
Operator: Now from Gustavo, Itau.
Gustavo Troyano: I have two points. The first related to BRF, but looking at operations. You started selling some products with BRF. I'd like to hear from you what else do you expect from this partnership with BRF? What values can be generated, things you're not doing yet? And if you can comment on how you see the result of what has already been done with BRF? And my second question, going back to the South American operations. Can you give us more flavor of the profitability of your box beef product as compared to the rest of your portfolio that is more fresh meat? And looking forward, will there be a relevant mix change that you're aiming at with all the investments you have made in Brazil?
Unidentified Company Representative: Actually, let me start with your question on BRF. We started a number of administrative activities with them. And that work aims at benefiting from opportunities. We are discussing opportunities with them, participated in trade shows. So the synergy has been very interesting. As for the work with brands, we’re just beginning. We are speaking about very solid brands in terms of quality and sustainability, both at Marfrig and BRF brands that are nationally and internationally recognized. So this is a project that is merely beginning. We have no doubt that, that will bring many gains. Now to the second point you raised about boxed products. They already account for over 25% of our mix. They carry a larger margin. We’re not going to go into margins, but it’s always 2 digits. We have achieved very good penetration. 70% of the boxed beef are in the domestic market, Brazil, Argentina and Uruguay. We are beginning to export. And that’s an alternative to expand our gains. But there is a huge growth potential for boxed beef.
Operator: Our next question comes from Ricardo Boiati.
Ricardo Boiati: I have a question about -- it's actually a follow-up to Rui's comments on feedlot, specifically about feedlot. It's interesting to see the positive effect not only coming from the assurance of supply, but also in terms of quality and so on. So the question is, do you see room to further expand that level of supply, the dedicated supply around feedlot cattle? And if -- Rui, if you could give us a number in terms of what kind of premium in price can we expect for cattle, price that you get from dedicated feedlot? And also in terms of spread, how much would that contribution be vis-a-vis supply via direct market which the company also uses? So that's my first question. And the second question for Tim, if you could comment, Tim, on all the changes with the new administration in the White House. Do you see any significant risk for the operations of National Beef in terms of new restrictions around immigration and also the commercial policy. Has that affected the company in any way, shape or form or if there is nothing in the horizon so far?
Rui Mendonca: As for the feedlot part of your question, the idea is to reach 25% of supply through feedlots. We have already reached that level in Q4, strong growth when compared to Q4 2023. And that cattle coming from the feedlot provides important advantages in addition to the assurance level you mentioned. In terms of occupancy, we had 90% of occupancy, which is really good. The quality of the beef is also important for us to meet our value-added product demand, branded products, also in terms of sustainability, traceability, better genetics and the time to slaughter also reduces emissions. That's an additional factor for feedlot and also a certification for Europe. So as we go through the feedlot for 90 days for Europe, cattle is better certified to go to Europe. And that, of course, brings about or brings forward gains because we have better pricing, premium for different cuts of meat. So that increases our mix possibilities when we plan production. So as we have major gains coming from that -- I do not have a number to give you right now to place a number, but it is a successful model, which is replicated by National Beef now. This is a long track record we have and a successful one at that when we combine all that. Of course, there's room to grow. There's always room to grow, and we continue to discuss different possibilities, different opportunities to expand that model. Tim, over to you.
Tim Klein: Regarding the change in administration, we're monitoring all policy changes as it pertains to the immigration and tariffs, and we'll adjust accordingly. But at this point, we're not seeing any impact at all on our operations.
Operator: Our next question comes from Ben Theurer from Barclays.
Ben Theurer: Just a quick one for Tim and then one probably for Tang, I guess. So as it relates, Tim, to the U.S. cattle industry, we've been kind of waiting for signs of heifer retention. Obviously, certain conditions have improved, and we're seeing at least cattle prices fairly elevated. What are you seeing in terms of like your other suppliers, but also from an integrated point of view in terms of the willingness to engage in holding back heifers to kind of start the reproduction process? That would be my first question.
Tim Klein: Yes. What we're seeing right now is for the last several months a real slowdown in the cow liquidation. So ranchers are choosing to keep those cows on the ranch rather than sending them to the hospice. So that's a good sign and the precursor to what we believe will be the heifer retention, has not started yet, but we expect it will begin here in 2025. As you mentioned, the drought conditions that caused the liquidation or partly caused it have been alleviated in most parts of the country, and we expect to see heifer retention beginning here in 2025.
Ben Theurer: And then maybe a quick one for Tang. As we look into the leverage right now and obviously, the significant improvement that you've gotten versus 1 year ago, really showing good progress here being roughly 2.5x in dollar terms, 2.8 in BRL terms. You've already done a lot on like repurchase and increased dividends. If you think about the additional opportunities from a capital allocation perspective, is M&A something that you would consider right now as well as a third pillar of continuously using excess cash that you might be getting out of the different operations? Or is M&A just given still the integration of BRF, something that's currently not on the table?
Tang David: Well, the best capital allocation is around reducing debt, reducing -- as you reduce debt, you reduce financial costs and improve leverage. So that's the best recipe.
Operator: Our next question comes from Guilherme Palhares from Santander.
Guilherme Palhares: Congratulations, by the way, on your numbers, especially in South America. First question goes for Tim. Tim, I'd like to hear from you the pricing dynamics in the U.S. We've seen premiums for prime beef at a quite high level in the U.S. I'd like to understand a bit more from you how sustainable those premiums are or can be, or [indiscernible] we saw a premium beef market performing based on a higher demand than the remainder of the sector or not? That's the first question. A second question, if we could talk a little bit about those 35%, Rui for you, in terms of cost reduction based on the scale. If you could break that number down a little bit, how much of that has to do with labor? Where is that reduction coming from? And if you could also give us some color on this ramp-up project in terms of the deboning for the company processes? Where are you today in terms of capacity utilization here in Brazil?
Tim Klein: The premium products, prime and high choice beef, we are seeing very, very strong demand for those items. I think that's indicative of overall strong demand for beef in the U.S. Part of that is seasonal. When we go into the holiday season, we normally see those spreads widen out and then they tend to moderate as we go into spring before we get into the fall. So for the most part, it's really reflective of the demand. As cattle supplies tighten up and cattle are then fewer days, I think we'll probably see those spreads remain fairly wide because the supply will be not as great as what we have today.
Tang David: If you could address the question on capacity utilization here in Brazil or South America, please?
Rui Mendonca: Speaking a bit our plants, this is the fixed cost, including labor. Labor accounts for 70% of those costs, 80% of those costs. When we talk about reducing costs, it's basically based on units. We are slaughtering 13,000 heads, including feedlot. We're talking about units based on a model of high volume. So that -- those high volumes in -- within our programs to improve efficiency and so on, those factors help us reduce fixed costs.
Operator: Our next question [indiscernible] from Bradesco, BBI.
Unidentified Analyst: I have two questions on my side. Number one, to your final -- last point, Rui. For volumes, we saw a very strong dynamics in the quarter as we've seen for the past quarters as well. My question is how much of that would seem a stable level for next year? Or is there more room to further grow within the operation? And when you think about the investments already made, I'm not taking into account additional investments that might come to be? And number two, also for South America, if you could comment a bit on what you've seen in terms of large international markets? In the quarter, it drew my attention that U.S. and Europe got my attention in those markets. And what have you seen in terms of pricing? Is there room for an increased mix for all those geographies where we have a premium? And also China, even though it's a market which lost some of its relevance, it remains important for the overall operation. So I'd like to hear from you a bit on the demand side for the international side?
Rui Mendonca: So let me start with volumes. We do have the seasonality of Q4. So we try and do our utmost trying to capture results. But we are at a ramp-up phase in late 2024. We had increased the size of those units by 50%. 1/3 of that growth is still missing, which will take place in the first half of 2025. So those units will -- have increased 80% their capacity as compared to their initial capacity. That will happen sometime this year. As for international markets, the large number of plants approved to exports -- we migrate market, and we use the domestic market as the major market, even price-wise. There is seasonality, but we do see China still strong with the highest demand. 1/3 of the international beef demand in the world comes from China. And there are many new markets. For example, we have an opportunity in Japan, Korea, Taiwan, Mexico renewed a program, removing taxes 1 more year where Brazil will export to Mexico without any tariffs. So Brazil plays a very important role in the international market.
Operator: Our next question, Ricardo from Morgan Stanley.
Ricardo Alves: Questions on South America have been answered. I'll focus my questions to Tim. I'd like to hear your opinion about beef spreads in the short-term? We expect a weak beginning of the year because of seasonality. But I think January and February came out a little weaker. We always look at packers utilization in the U.S. But there is better expectation for the cutout prices in March. In your operations, what do you expect for March or April where spreads might improve? And if you could explain the rationale behind your explanation? My second question to you, Tim, as I asked for Brazil, I'd like to hear your opinion about Japan and South Korea? Since we're going to have less global beef supply globally, how do you see those markets? How do you see international beef markets possibly impacting prices in the U.S.?
Tim Klein: Margins in -- going forward in Q1. I can't really speak to forward-looking. However, we do normally see our lowest margins of the year in Q1. So we -- that's normally a poor demand time period. We're not able to fully offset increases in cattle prices. But what we do expect to see is that as we go into the spring season, get closer to the barbecue season, that we have a better ability to move the cutout higher as cattle prices move higher.
Ricardo Alves: Would you like to comment on international markets, Tim?
Timothy Klein: Yes. We've seen really good demand from our trading partners across the globe, and we focus mainly on Japan and South Korea as our key markets and demand there has been good even at the higher price levels.
Operator: Our next question from Thiago Duarte from BTG.
Thiago Duarte: I would like to, first of all, ask Rui to give us some more color on market access? You did mention market access in your previous question. I'd like to hear from him the size of the opportunity that we have as Japan opens up, or is about to open up? How much would that represent for the Brazilian beef export market? I'd say, Japan and South Korea out of the larger markets and good payers for that matter. I think they are the only ones left, which are not yet accessible for Brazil overall. So I'd like to understand how optimistic or how enthusiastic you are right now in terms of this potential access to Japan and how that can affect the company's profitability? Number two, I'd like to hear from Marcos also about a specific topic, which is, when you look at the past 2 or 3 years, the company's journey with BRF, if we were to highlight one of those previous earnings calls, we discussed back in the day a potential for a merger between Marfrig and BRF. So I'd like to hear from you, Marcos, from the point of view of corporate structure, if a merger or some other kind of corporate move is -- would still make sense in your opinion, having in mind how things have evolved both for Marfrig and BRF? You have invested in plants across South America and so on and so forth. So those are my questions.
Rui Mendonca: Thiago, well, as for Korea, Japan and now Indonesia also, all those countries can be large contributors. In Japan, we're not competing with meat exported by the U.S. We have already accessed Japan via Uruguay and the impact is an important one.
Marcos Molina: Yes. And Thiago, this is Marcos. As for the corporate structure, that's something I have not been thinking about thoroughly, to be frank. Marfrig is the controlling company for BRF, and we have focused on growing BRF. All the work we've put in BRF is still unfolding investments in culture, the plant in China for BRF, as you know. For Marfrig, we are increasing process, products, we are increasing the brand portfolio. Uruguay, also we need to wait for a definition. And then all of that scenario with the new American administration, that might eventually influence different markets, also the growth in Saudi Arabia, a partnership with BRF. So our main focus is on that. I'm not really concerned about the corporate structure side. I'm not worrying about that. There's nothing still definitive, I'd say that's in the back burner now. So what we're doing now is to think about what's best for BRF, what's best for Marfrig and for their respective shareholders. And we're trying to find -- identify synergies for both companies we work together and getting the best out of the collective work. Nothing planned in terms of corporate structure as of now.
Operator: Our next question comes from Thiago Bortoluci from Goldman Sachs.
Thiago Bortoluci: Congratulations on your numbers. I'd like to hear from you, Marcos, once again about Marfrig. If I look at 2023 onwards based on the share buyback, the share from Marfrig moved to 72% from 64%. If I'm assuming the execution of the new program, which we announced yesterday, you would be close to 74% actually. We're talking about a minimum free float of 25%. Today, when you think about capital allocation from the controlling group and opportunities to grow value, closing Marfrig's capital, is it an option which is on the table right now? And going beyond that, the question would be, given the low free float level that the company has shown, why move on as a listed companies -- company? What would be the advantages of continue to be a listed company?
Marcos Molina: Well, personally, leaving the stock market was never a matter of discussion. It's not in our plans. We have other benefits of being a listed company. In terms of capital allocation, in terms of the dividend payout, we also sold the assets to Minerva, as you know, investments that were good for the company with good returns. So -- and there's a buyback program for shares, which is at a very good price for us, quite attractive for buyback investment. And going -- looking forward, BRF still has room to grow, and we believe in a drop in interest rates as of next year as well. So there's a whole array of possibilities that we see going forward, both for the protein market, bovine and pork protein, swine also and for poultry. And all of that is good for the company to invest. Those 25% you mentioned, even with those buyback programs, I think the daily liquidity continues to be quite comfortable. Our shares are quite liquid. So, we are quite reassured in maintaining the current position as we are today. Okay. Thank you, Marfrig's.
Operator: The Q&A session and Marfrig's conference call is over. If you have further questions, contact our IR team. Thank you very much for your participation and have a pleasant afternoon.